Operator: Good day and welcome to the OPENLANE Third Quarter 2024 Earnings Call. All participants will be in a listen-only mode. [Operator Instructions]. After today's presentation, there will be an opportunity to ask questions. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Ms. Itunu Orelaru. Please go-ahead ma'am.
Itunu Orelaru: Thanks Chuck, good afternoon, everyone. Welcome to OPENLANE's third quarter 2024 earnings call. With me today are Peter Kelly, CEO of OPENLANE, and Brad Lakhia, CDP and CFO of OPENLANE. s Our remarks today include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements involve risks and uncertainties that may cause our actual results or performance to differ materially from such statements. Factors that could cause such differences include those discussed in our press release issued today and in our SEC filings. Certain non-GAAP financial measures as defined under the SEC rules will be discussed on our call. Reconciliations of GAAP to non-GAAP measures are provided in our earnings materials and available in the Investor Relations section of our website. With that, I'll turn the call over to Peter. Peter?
Peter Kelly: thank you Etunu and good afternoon everybody. I'm pleased to be here today to share OPENLANE's strong third quarter results. I will start with some high-level details around our performance, our strategy and our outlook for the future and then I'll turn the call over to Brad Lakia to provide additional detail on our financial and operating metrics. OPENLANE had a very positive third quarter. On a consolidated basis we increased revenue and delivered $75 million in adjusted EBITDA representing a 10% increase over the prior year and year-to-date, we've generated $260 million in cash from operations similar to Q1 and Q2. I'm very pleased that these Q3 results reflect a significantly improved performance in the OPENLANE Marketplace segment on 6% volume growth. The marketplace grew revenue and gross profit while delivering $36 million in adjusted EBITDA. That was a 34% increase over the third quarter of last year and this is now the third straight quarter where our marketplace segment has contributed nearly 50% of our consolidated adjusted EBITDA and that's up from an average of around 39% for the same three quarters last year. AFC was again a strong contributor in the third quarter generating approximately $39 million of adjusted EBITDA while reducing SG&A costs and effectively managing risk across that portfolio. These third quarter results clearly demonstrate our ability to generate profitable growth and the strong scalability characteristics of our Asset Light digital model. I also believe our results reflect how customers increasingly view and value our differentiated offerings. OPENLANE is a true market leader in technology and we're seeing the positive results of the strategic investments we're making in innovation, in people and in the customer experience. All of this fuels my optimism for our long-term growth in volume, market share and profitability. So let me turn to our strategy and how we plan to build on this positive momentum. As I previously said, our strategy for growth is anchored in our purpose, which is to make wholesale easy so our customers can be more successful. And we're making wholesale easy by focusing on three enabling priorities. First is by delivering the best marketplace, expanding to more buyers and more sellers, and offering the most diverse inventory available. Second, by delivering the best technologies, innovative products and services that help our customers make informed decisions and achieve better outcomes. And third, by delivering the best customer experience, keeping our marketplace fast, fair and transparent, making it easy for customers to transact, and making OPENLANE the most preferred and the most utilized marketplace. So let me detail about how we're advancing each of these and how they're positioning us for the future and I'll begin with creating the best marketplace. OPENLANE's third quarter marks the sixth consecutive quarter of year-on-year growth in our marketplace segment with positive contributions from our us, Canadian and European marketplaces. During the quarter we increased the number of vehicles offered and sold, delivering growth with both commercial and dealer owned vehicles. Our marketplace facilitated a gross merchandise value of nearly $7 billion, which was a 12% increase over the same quarter last year. We also increased our marketplace participation, delivering one of our strongest new dealer recruitment quarters since 2021 as well as double digit increase in unique buyers transacting on our platform. All of these point to the strength of our offering, the vibrancy of the OPENLANE marketplace and the value that OPENLANE delivers in terms of speed of sale, high conversion rates, low selling costs and excellent financial outcomes for our customers. Focusing on Dealer Volumes we are clearly seeing the power of OPENLANE's network effect and my optimism remains as strong as ever around our longer-term growth opportunity in the dealer space. During the quarter we grew our dealer volumes by 3% representing a significant improvement versus the first half of this year. Momentum also increased over the course of the quarter and that gives me increased optimism for a trajectory in the fourth quarter and into next year. We attribute much of this to the scaling of our marketplace, our accelerated brand and digital marketing efforts, and our go to market investments which are generating increased participation from franchise and independent dealers both as sellers and as buyers in our marketplace. And we're also seeing customers continue to gravitate towards digital. When comparing the most recent four quarters to the preceding four quarters, we believe our dealer volume growth is outpacing and taking market share from physical auctions, and there is still a very large addressable market for us to capture. In terms of commercial off lease volumes. OPENLANE remains a clear market leader and I was pleased to see our commercial volumes growing in the third quarter. We have discussed on prior calls that the low level of leases written in late 2021 and 2022 are a headwind to off lease volumes in the second half of this year and in 2025, and that off lease volumes will not materially grow until 2026 and beyond. Given that background, I'm pleased with how our off-lease volumes held up in Q3. I was also pleased to see industry new vehicle sales increase and lease originations increase for the sixth straight quarter, which will be a positive for OPENLANE when those leases mature. OPENLANE remains well positioned with commercial sellers delivering faster speed of sale, higher conversion, lower costs and better financial outcomes. In fact, one of our commercial sellers is now converting nearly 95% of their inventory in OPENLANE, and many customers have commented to me that OPENLANE is bringing them a substantial premium to the vehicles that they're selling at physical auction. So in summary, OPENLANE is focused on leveraging the combined power of our growing dealer base with our strong relationships and market position with commercial customers. And both customer sets will benefit from greater exposure, integration and interaction through the OPENLANE marketplace. The second way we're making wholesale easy is by leveraging our Asset Light digital model to deliver what we believe is the best, most innovative technology available in the United States. We've spoken on previous calls about our investments in condition reports through industry first offerings like Visual Boost AI and codeboost iq. We are committed to providing comprehensive condition data on every vehicle offered for sale. We're also seeing the momentum build around our absolute sale feature. About half of the dealer transactions in our US Marketplace are now sold through an absolute sale, and on average, sellers who launch a vehicle into an absolute sale Receive almost $700 in incremental bids after they activate this feature. That's a powerful figure that continues to increase in Canada. We're enriching the data we provide to buyers and sellers, deploying AI powered vehicle recommendations and expanding our self-service offerings to enhance the overall buying and selling experience in Europe. We recently received the Fleet Europe Remarketing Innovation award for our OPENLANE sell offering which gives sellers more control and the ability to customize their selling experience in real time. And for our commercial customers, we are deepening the integrations between our private label programs and their back end financial and operational systems. Already this year we have deployed 65 major enhancements and over 2700 other improvements to help commercial customers prepare for a more digital future and create an even closer connection with their franchise dealer networks. And then finally let me turn to how we're making wholesale easy by providing an exceptional customer experience. During the quarter I had the opportunity to spend significant time with many OPENLANE customers. I came away from those meetings with the strong conviction that our customers are increasingly looking to a digital future in terms of how they sell and source their inventory and also in terms of how they connect with their retail customers. It's also clear to me that OPENLANE's customers value relationships and that OPENLANE is a valued business partner. So we're investing in those relationships and focusing on delivering real value through technologies that are highly sophisticated but also very easy to use. We are integrating AI into our operational processes and service workflows to help reduce administrative tasks and to resolve customer issues more quickly and consistently. Also during the third quarter we launched a standardized Transactional Net Promoter Score or NPS system across our us, Canadian and European marketplaces. The early results and feedback we're getting from dealers range from good to great to excellent depending on the platform. And some of the consistent positives cited by our customers include the ease of use, the appreciation of the great new features and functionality as well as our highly responsive customer support teams. So we are committed to delivering a positive, data driven and high touch customer experience and I believe this will be a competitive differentiator for OPENLANE and a core driver of our future growth. I'd like to spend a few moments on AFC while Brad will provide some additional detail in a few moments. We will be hosting an Investor update on November 19 to provide additional disclosures and metrics that most finance related businesses share with their investors. AFC is a strong, high performing business with a leading market position and it is a valuable asset to OPENLANE. It helps attract, enroll and engage dealers on the OPENLANE marketplace and it generates strong adjusted EBITDA and cash that can be reinvested in the business. We believe that the enhanced information will improve our investors understanding of this business will better highlight AFC's leading financial performance metrics and ultimately allow investors to more accurately value AFC, among others. The performance metrics we will Highlight will include AFC's leading return on equity, return on assets, and the strength of AFC high mix of fee income and strong net interest margins. These leading performance indicators are driven by AFC's strong market share, its exceptional customer service, and its competitively differentiated underwriting and risk management processes. So we look forward to sharing all of that information with you later this month. So to close out my comments on the quarter, I just want to reinforce that OPENLANE is very well positioned in the market and that our differentiated offerings are gaining momentum and customer loyalty. The third quarter represented another positive step on what I believe is a much more consistent track record of performance, and our results reinforce our key value proposition for investors that OPENLANE is an asset light digital marketplace leader for wholesale used vehicles, that there is a large addressable market in North America and in Europe and we're well positioned to capture the opportunities to grow both dealer and commercial volumes. It's clear that our brand and platform consolidation efforts over the past 24 months are now enabling us to accelerate innovation and product development. Our focus on operational efficiency has also given us the financial headroom to invest in that innovation while also improving our financial results. We are cash flow positive with a strong balance sheet and we believe that our business has the capability to deliver meaningful earnings growth over the next several years. So that concludes my remarks regarding the third quarter. But before I turn the call over to Brad Lakia, I have one other announcement and that is that Brad will be leaving OPENLANE to pursue another opportunity. Brad will remain at the company through the end of February to assist in finalizing our 2024 fourth quarter and year end results and also to help ensure a smooth transition. We have already initiated a national search for a new CFO. We have a very strong bench strength and institutional knowledge across our finance areas and teams, and we also have a very solid foundation of cost management, capital allocation and investing in innovation. These are all areas that Brad helped enhance during his time here at OPENLANE. So I let Brad provide any additional context that he'd like to offer up before he covers our financial results and I will keep you all updated and informed when a successor has been named. Brad?
Brad Lakhia: Thank you, Peter. And before I get into my remarks regarding the quarter, I just want to be very clear that the decision I made to leave OPENLANE was a difficult one and at its core a very personal one. Since I started with OPENLANE I've been commuting most weeks between Ohio and Indiana and this will allow me to spend more time with my family and be closer to home. OPENLANE is on a very positive trajectory as evidenced by the strong third quarter results we are communicating today. The investments the company is making in innovation, technology and people have positioned the company to capture the opportunities ahead, and I'm grateful for the opportunity to work with Peter and the incredibly talented management team here at OPENLANE. As Peter mentioned, I will remain at OPENLANE through the end of February and will continue to be available to investors and analysts during that time. Now let me turn to the third quarter. We delivered another strong quarter driven primarily by the strength of our marketplace segment as well as our ongoing focus on operational efficiency. As usual, certain comments that I make related to Consolidated OPENLANE and the marketplace segment are on a net revenue basis which excludes the impact of purchased vehicle sales. In addition, my comments will be on a third quarter year over year basis unless I state otherwise. Our Consolidated revenue was $448 million, up 8%, mainly driven by the 6% unit volume growth in our marketplace segment. In our results you'll see our net revenue was flat as we continue to realize the impact from the transportation accounting change we made in the fourth quarter of 2023. This change impacted net revenue by $13 million in the third quarter and since we made this change during the fourth quarter of last year, our comparisons as we move into 2025 will be clean of this change. Total Cost of services was $252 million, up 17%. Gross profit was $196 million, down 2%. Higher auction fee revenue was offset by the impact of a higher mix of commercial volumes and a decline in finance segment revenue. Adjusted EBITDA was $75 million, up 10%, primarily driven by the increased marketplace volume and lower SG&A. Consolidated SG&A for the quarter was $99 million, down 7%, reflecting the successful execution of our cost savings initiatives. The SG&A decline was primarily due to lower professional fees and compensation related expenses. In addition, our technology Platform consolidation initiative led to a reduction in our technology costs during the quarter. As a company, we remain very focused on our cost culture. This culture drives productivity that enables investment in growth and innovation and we've established internal programs to drive this on a consistent basis throughout OPENLANE for the balance of 2024. We expect our SG&A spend to remain at similar levels to recent quarters and we remain committed to funding core Go to market Customer Facing investments Turning to the marketplace segment, revenue increased 12% to $354 million. Our total volumes were up 6% with commercial and dealer volumes increasing by 8% and 3% respectively. Auction fee revenue increased by 11%, primarily driven by the volume growth as reported. Services revenue was down 4% once again primarily due to the transportation accounting change mentioned earlier. Excluding this change, services revenue was up 5%, primarily driven by transportation related services and volume increases. The volume increases reflect our ongoing focus to drive greater attachment of our services to our core marketplace offerings. Marketplace adjusted EBITDA was $36 million, up 34%. This improvement was driven primarily by higher auction and service-related volume and lower cost. Marketplace SG&A was down 7% driven by the factors discussed earlier. As Peter stated, we are very pleased with the overall performance of our marketplace business. Our commitment to making wholesale easy is enabled by delivering the best marketplace, the best technology and the best customer experience. We believe our ongoing and focused investments in these priorities will enable us to deliver scalable, profitable top line growth and capture margin improvements over time. Turning to our finance segment, revenues for the quarter were down 6%, primarily driven by flat volumes and lower interest income resulting from lower vehicle values within the portfolio. To provide some market insight over the past couple of quarters, we are seeing independent dealers notably more disciplined with the amount of vehicles they are carrying on their lots. While this disciplined approach supports an improved credit risk profile, it challenges AFC's ability to deliver revenue growth, particularly when coupled with the impact of lower vehicle values and we expect this volume challenge to persist at least through the early part of 2025. That said, despite flat loan transaction units in the quarter, we believe this is a broader market trend and not impacting our market share and therefore we're very pleased with our relative competitive performance. Finance Segment adjusted EBITDA was $39 million, down 5% reflecting the impact of the factors I just discussed. Finance SG&A was also down 7% driven by the same factors I mentioned earlier. From a risk management perspective, we are pleased with the third quarter provision for credit losses of 2.1%. This reflects continued improvement in risk fundamentals but also the advantages of our leading risk management processes, analytics and close to the customer model. While we are only halfway through the fourth quarter, we are thus far-seeing consistent improvements in both frequency and severity of losses. Therefore, at this time we expect the loan loss rate for the fourth quarter to be generally consistent with the third quarter. And to reiterate, we continue to target a long-term loss rate of 1.5% to 2%. Overall, AFC remains a strong, high performing business and a strategic asset that drives stickiness and critical services to OPENLANE's customers. AFC's strong cash flow characteristics also support OPENLANE's overall capital allocation, including the funding of our strong pipeline of organic initiatives. Moving to the balance sheet and capital allocation consistent with prior quarters, we continue to generate strong cash flow. Year to date, we have generated $260 million of cash flow from operations and our consolidated net leverage stands at less than one times adjusted EBITDA over the past seven quarters and when excluding changes in operating assets and liabilities, we've generated between $50 million to $70 million quarterly in cash flow from operations. This level of cash generation demonstrates the value of our asset light digitally focused marketplace business working in combination with our leading floor plan finance business. Overall, the core of our capital allocation framework remains the same. We continue to prioritize the funding of organic investments while ensuring flexibility for high return, complementary strategic opportunities and shareholder returns. In Q3, we bought back approximately 1.8 million shares as part of our share repurchase program. We have also increased and extended our share repurchase program to $100 million through the end of 2025. Our philosophy on share repurchases has not changed. We will remain principled and opportunistic with this program wrapping up on 2024 annual guidance we have updated our adjusted EBITDA guidance to $285 million to $295 million. Other updated guidance metrics are reflected in our earnings release issued earlier today. To summarize our third quarter performance consolidated adjusted EBITDA grew 10%, our marketplace adjusted EBITDA grew 34% and our marketplace volumes grew 6%. Our finance credit loss continues Our finance credit loss rate continues to improve and AFC continues to be a major contributor to our overall financial performance. We generated $260 million of cash flow from operations through nine months. And finally, we believe our strong performance reinforces the strength of our strategy, our compelling value proposition for our customers and the benefits of our Asset Light digital model. Before I turn the call to the operator for questions, as Peter mentioned, we'll be hosting a Virtual Investor Update on Tuesday, November 19 from 10:00am to 10:45am Eastern Time. Members of our Senior Executive Management team will discuss OPENLANE strategy and our enhanced AFC disclosures and performance metrics. We'll also allocate time at the end for Q&A. Please ensure you join the live webcast Information to join will be posted on our website. With that, I'll turn the call over to the operator for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions]. And the first question will come from Rajat Gupta with JP Morgan. Please go ahead.
Rajat Gupta: Great. Thanks for taking the questions. And Brad, just want to wish you all the best and look forward to speaking with you the next few months. Just had a couple questions here. Maybe on the D2D volumes in the US specifically, I think you mentioned that you continue to gain share versus physical. Are you able to quantify that a little more in terms of how much was that delta, maybe. How much was US Overall versus Canada? Any more color there? Or maybe to ask it another way, are you able to give us a sense of how your open marketplace did in the US Versus the industry in any way you could characterize those share gains in more granular fashion? I have a follow up. Thanks.
Brad Lakhia: Yes, thanks, Rajat. I appreciate that. So I guess what I'd say, Rajat, as I mentioned in my remarks, I was pleased to see dealer volumes improve, particularly versus the first half of the year. We saw substantial, you know, positive swing versus the year-on-year trajectory. That was the case in the first half. And we saw improvement generally in all the markets that we operate, you know, including the U.S. i also, as I mentioned in my remarks, you know, we believe we're gaining share in that marketplace. If we look at our total open sale transactions versus dealer, you know, dealer transactions in AuctionNet, we believe we're growing, we're gaining share vis a vis that. The other thing I was pleased about, Rajat, was we obviously saw improving momentum over the course of the quarter. So we finished the quarter stronger than we started. And some of that I attribute to, you know, we put more go to market resources investments in the field at the start of the quarter, and it takes a while for that to sort of have an impact and start to bear fruit. So I think we're seeing positives from that. And finally, you know, increased marketplace participation. You know, we track number of sellers, number of buyers, and we're seeing growth in total marketplace participation, growth in both sellers and buyers, probably more growth on the buy side than the sell side. But we're pleased to see growth in both categories. We don't give the split on US. Canada, so I kind of leave my, I leave the specific volumes there. But we're pleased with the traction we're seeing in both Markets.
Rajat Gupta: Got it. That's helpful color and maybe just on the pricing strategy, some of your peers, especially on the digital side, the timing of their price increases has continued to move up through the course of the year. Earlier it was later in the year, now it's more earlier in the year. I was curious, have you followed those price increases? How would you rate your prices versus them? Or maybe if you could give us a sense of what the difference is between yours and the physical auction providers today and how much more pricing power there is in the business. Thanks.
Brad Lakhia: So, Rajat, first of all, when I think about pricing and the value proposition to our customers, I go back to our purpose statement, making wholesale easy so our customers can be more successful. And I also think about what are the attributes that differentiate us in the eyes of our customers. And I think, you know, speed to sale, the fact that we can sell cars in a day so very quickly, very efficiently, cost of sale, the fact that it costs us less to put a car through our digital marketplace than a cost to put a car through alternative remarketing channels. Let's say, you know, our process is very efficient. I see that as a structural advantage, a long-term structural advantage of our business model and obviously excellent customer service and excellent outcomes in terms of price. So those are the things we're really trying to optimize for our customer. And those points of differentiation I think resonate with our customers and that's what's going to help us grow our business. And obviously we're focused on that. Obviously pricing matters and we have to make sure we're getting appropriate reward for that. What I would say, Rajad, is I think we're well positioned vis a vis our competition. And by that I would say the prices that we charge, I would say are at or below what the customer would tend to use with alternative channels, whether physical or other digital alternatives. So I think we have some headroom there, but we're also focused on growth. So let me give you some specifics. In late in the third quarter, in the month of September, we did a price increase in Canada and that was to really reflect the impact of the digital services tax that we spoke about on our last earnings call. So that is now in place. But it's not really evident in our Q3 results except for one of the three months. So we'll get the future benefit of that for a full quarter here in Q4 and we'll get it for all of next year. So that's one change we made in the quarter. And then I'll Say not in the third quarter, but just recently in this fourth quarter we did a modest price increase in our US Open marketplace, again reflecting the fact that we think we had some room. And I would say even with this change, we still believe we're attractively priced in the minds of our customers vis a vis alternatives and other alternatives out there. So again, that price increase is not reflected at all in Q3, will be partially reflected in Q4, and we'll have the benefit of that in all of 2025. So we're focused on obviously the value we create for our customers and the outcomes we create for our customers and then getting an appropriate reward for that. And again, I'll go back. I feel pleased with our marketplace performance. EBITDA grew 36% year on year and that was without us being as aggressive as perhaps we could on this pricing dimension. So I feel we're good, well positioned and we'll take the steps we need at the appropriate times.
Operator: The next question will come from John Murphy with the Bank of America. Please go ahead.
John Murphy: Good afternoon or evening. Just a question in this, in the volume ramp because it seems like it's actually been improving in the past couple of quarters. But when you talk to dealers, you know, they keep talking about sort of this shortage and having a hard time finding vehicles. So I'm just curious as you think about when this actual real inflection in industry wide volume comes and some of the leverage that you're already starting to see really may really inflect and take off?
Brad Lakhia: Yeah, thanks John. I guess. Listen, I'm pleased that we're continuing to deliver volume growth, the growth in the third quarter, that's six consecutive quarters of volume growth. I'm also pleased that been able to demonstrate both in volume growth in both commercial and with dealers. And if I look at each one commercial in spite of sort of the off lease headwinds, we're in that sort of shadow period or echo period of the fewer, the lower level of lease originations. But we grew our volumes in the third quarter in spite of that. So I take that as a positive. And then on the dealer side, as I mentioned, you know, a significant improvement versus the first half of the year and improving momentum over the course of the quarter. So I feel good about that. I guess if I look at some macro factors, John, inventory on dealers lots has increased certainly on the new car side. And I think that makes dealers more likely to sort of trade out of a trade in that might be a marginal unit for them, whereas two years ago they might have held onto that. So I think we're seeing that starting to positively impact dealer consignment. And I'm hopeful that will be a longer-term trend, not just a short-term phenomenon. I think most analysts, including yourself, are predicting that these inventory levels will remain somewhat elevated or back in the normal range, let's say, of what they used to be. As I mentioned in my remarks, the commercial volume, I think continues to remain challenged for the next, you know, for the next number of quarters. The end of next year. I think the real acceleration, John, is going to come in 2026. You know, at the beginning of 2026, we're going to be three years on from when we started to see a significant ramp up in lease originations that started happening in the beginning of 2023. And I think coupled with that, we're going to see those leases come back. They won't have all the positive equity that, you know, current leases have. So a higher percentage of them will get returned. There'll be a higher percentage of EVs within that. A lot of those are going to get returned. So no, that's kind of my expectation. And coincidentally we were having a dealer advisory panel here at our office this afternoon. So I got to spend time with a bunch of our great customers, frankly, dealer customers. So this was a topic of conversation. I'd say generally that's the feedback they have is that inventory, you know, the ideal inventory for them over the next few quarters is going to continue to remain a little scarcer than they'd like, particularly on the used car side. And they see that sort of changing really in a late 25 into 26 timeframe.
John Murphy: And second question on the financing side, there's a lot of constant rumbling about sort of the subprime consumer having a lot of trouble and defaults and delinquencies have risen to some degree. It doesn't necessarily translate into what you're doing on the financing and the floor plan financing side on AFC. But I mean, I'm just curious if there is any sort of contagion or anything you're seeing in your base of dealers on the AFC side where there's any incremental signs of trouble or they seem to be managing everything well and there's not any real step up in need for higher provisioning or anything like that there?
Peter Kelly: No, let me start and I'll hand this to Brad to go into more some of the specifics. But John, we're not seeing that. We're actually kind of seeing the opposite of that. We're seeing the risk metrics at AFC improving, frankly. You know, and I think, you know, the nature of that business is we do get a little bit of forward view into the business. So, you know, I feel, I feel good about that. AFC continues to perform well, is a strong contributor to our consolidated results, and had a good quarter. $39 million of adjusted EBITDA on the quarter was strong. It's got a strong and growing portfolio of products and services that are highly valued and highly differentiated with customers and obviously strong cash generation. And we look forward to talking more about this on the 19th, by the way. So, you know, I feel good about that. I think used vehicle values have stabilized. They're not declining like they were, you know, in that sort of period where they dropped 20% over 18 months. And I think that really helps improve our risk profile. But, Brad, do you want to add anything to or share anything beyond that?
Brad Lakhia: Yes, no, John, I think I just restate what I said earlier in some of my remarks that, you know, that independent dealers are being more disciplined around the absolute number of vehicles that they're carrying on their lots. We think that's good. You know, we saw a period when vehicle values were declining where the risk profile for the business and those dealers was different, particularly in 2023. So that discipline, we think, is a good, positive thing. You know, the recent reduction in interest rates has been helpful for those independent dealers, I think, as we look forward to potential further interest rate cuts, I think that's going to make their floor plans more affordable. And so, yeah, just to kind of answer your question a little bit more directly in terms of any contagion from kind of the retail dynamic that you mentioned, subprime dynamic, not seeing that. And I will also just emphasize, as we always have been with this business, very disciplined underwriting, very, very strong risk management, close to the customer. We're out in these local markets with our branch locations. We're very close to the customer. So we're really able to stay on top of things pretty nicely in terms of looking at the risk profile of individual accounts. And so we feel really good about where this business is at.
Operator: The next question will come from Bob Letick with CJS Securities. Please go ahead.
William Joseph: Hi, this is Will on for Bob. Just one question. How is the mix of off lease auctions changing, if at all, with lower off lease volumes?
Brad Lakhia: Yeah, Will, thank you. You know, it has, well, I was going to say it hasn't changed much, but let me, let me say one thing we've noticed is that as we've ramped up our go to markets efforts, we're seeing much more participation by franchise dealers as buyers in our open marketplace. I think they're finally getting to learn that, hey, open lane has a very unique and differentiated set of off lease inventory flowing through that marketplace. So we're seeing on a year, on year basis solid improvements in the number of off lease vehicles selling in that open channel in absolute numbers and also in percentage terms. And that's a real positive for us because, Will, that's our highest ARPU revenue per unit channel in the off lease waterfall. So I'm encouraged by that. We're seeing a small tick up in the blended ARPU across the off lease category. So again, that really is reflecting that the percentage of vehicles selling to the grounding dealer has declined modestly. We're seeing more vehicles flow through into those higher revenue channels. How that plays out over the next year, difficult for me to predict. We'll have to take it as it comes. It will depend on a lot of factors, but the current trajectory is quite encouraging to me at least. Great, thanks.
Operator: The next question will come from Gary Prestopino with Barrington Research. Please go ahead.
Gary Prestopino: Hi, good morning. Good afternoon, Peter, Brad. Peter, would you kind of, could you kind of maybe help us out here? You're talking about increased dealer participation. Your dealer consignment vehicles sold were up for the first time this year in any quarter. Maybe give us, can you slap some metrics around dealer participation, I mean, and dealer recruitment?
Peter Kelly: Yeah, we don't, we don't disclose the exact numbers, you know, each quarter, Gary, but obviously we track, you know, the number of active buyers in our marketplace, the number of active sellers both in terms of login activity but also purchase activity and then the total number of participants in participants in total. And as I mentioned, we saw good growth over the course of the quarter, particularly on the, on the buyer side. So that's encouraging. I think, you know, the market's been maybe a little bit more robust, demand is strong. So that, that probably helps with, with buyer engagement and buyer, buyer activity as well. But we have in any given quarter tens of thousands of active dealers on a North American basis, probably in any given quarter, roughly a third on the sell side and two thirds on the buy side. And obviously a bunch of dealers are both buyers and sellers as well. So significant volume, significant Share and an opportunity for us, I think, to deepen our wallet share. Deepen our wallet share with, with those customers over time. You know, another thing that, and without going into all the details, you know, when we did the car wave migration, and this is going back a little bit, but certainly when we migrated that platform, we encountered some headwinds. This is, you know, a year, year and a half ago. We've seen really robust improvement, you know, in our California market ever since we rebranded to OPENLANE and the commercial inventory in there, that offering seems to be really, really strong. And we're seeing a lot of positive growth in that particular market as well, which is good to see.
Gary Prestopino: I mean, are you being more proactive with dealer recruitment or is just the word getting out that, hey, it's getting to be an ease-of-use platform and it's generating good inventory looks, et cetera, et cetera, stuff like that?
Peter Kelly: Well, Gary, it's both. We are absolutely being more, you know, proactive. We have made increased investments in our go to market and really the idea is to get the word out about the value that our platform creates for dealers. And again, I mentioned I was out, you know, with many dealers over the course of the quarter. I heard that firsthand from those dealers. They see our platform as differentiated. They see the value we're creating and the value they're getting through our channel that they're not getting, you know, in other, in other places. So we are being more proactive. That is true. But the second thing is I think word of mouth is getting out. I think, you know, we made the open lane brand transition, happened actually just slightly less than a year ago. It was late October last year. So, you know, we started 2024 with a new brand in the marketplace. Whether we like it or not, that creates a certain amount of readjustments and customers who is this company and you know, all that kind of stuff. So I think that's now behind us. And in terms of the word getting out, I mean, there was a podcast and one of our dealer customers went on it last week. It's a well-known podcast in the industry, listened to by a lot of dealers. We had a customer on there last week and he spoke about OPENLANE, delivering prices that he was not getting in any other channel, delivering a uniform sales process, his 50 franchisees, this was a sizable dealer group and creating outcomes for his business that were really, really strong. So that was unsolicited feedback. I was obviously delighted to hear it. But that, I would say is part of word getting out in the dealer community, that this platform can offer our customers a lot of value. Oh, I'm sorry, Brad, go ahead.
Brad Lakhia: No, I was just add, I mean, just to add a little bit to what Peter said, you know, not only are we making more, you know, more assertive investments and go to market, you know, resources out in the field, but how we're deploying the existing field resources that we've had, we're also optimizing that we're. There's some changes that we've made around just how we drive our sales force and our teams out there. And we're seeing some early results, positive early results from that as well.
Operator: The next question will come from Craig Kinnison with Baird. Please go ahead.
Craig Kinnison: Hey, good afternoon. If I could follow up on Gary's line of questioning. I'm curious about the path dealers take to becoming one of your customers on the sell side. Do they typically start as a buyer and then migrate as a seller or are the paths more various than that?
Peter Kelly: It is more varied than that. First of all, Craig, thank you. Appreciate the questions. Good to hear from you. It is more varied. I will say a lot of dealers, their first experience with us is as a buyer and in the case of a lot of franchise dealers that might be a buyer on one of a private label, you know, marketplaces where they, you know, they may not even acknowledge that it's open lane. They're what they're buying, you know, in that sort of OEM branded marketplace that we are operating. So for a lot of dealers, that's the first experience. Obviously through our go to market efforts, we ultimately want to get to meet them and explain the full solution set that we offer and how this, we can benefit them on the sell side as well. And that, so that's kind of a path, I think, if we think of what are sort of the easy things for a franchise dealer in particular to say yes to. Well, should you be buying on your OEM branded private label site? Well, clearly, yes. Every franchise dealer should be engaged in that marketplace to get access to that high quality in brand inventory. Should you be a buyer in our open marketplace? Well, yes, there's differentiated inventory there. That's where it sort of lands first before it gets allocated to some other channel. So that's a fairly easy sell. And then, you know, does our selling solution create value for you? And again, sometimes that's a little bit of a higher hurdle because they might say, well, I'm a, I sell a physical auction. I've been doing it for 20 years and this is how I do it or I use somebody else. But as we sort of can get in and explain, hey, these cars are selling in a day, it's attractively priced. We're getting great price outcomes for on these vehicles based on customer feedback and data. We can generally find a way to get them at least into a trial mode and go on from there. And Craig, I'm really pleased from talking with a bunch of these dealers. How many dealers have fully integrated us into their process? I'm seeing more and more dealers integrating us at the front end of the funnel. Like, you know, numerous dealers I spoke to say they start their process with OPENLANE. So they get these wholesale trades. They know they don't want them for the retail lot. They're going to start them on open lane. We're going to get the first shot. And this mirror is kind of our off lease private label experience. We get the first shot there, Maybe we sell 50%, 60%, 70% and then what remains maybe that goes to their local auction or goes to another channel. So that's a positioning we really like to get to. We're there with a lot of dealers and we're going to keep trying to get there with more.
Craig Kinnison: Thanks Peter and Brad. Maybe I'll take a shot on AFC. I know you've got this call upcoming but I think internally you must have concluded the market doesn't quite value that properly at a high level. How would you characterize fair value for AFC and what really drives that thinking?
Brad Lakhia: Yeah, no, Craig, I appreciate the question. Listen, I think as we've studied this a little bit more recently, you know, when we look at the financial performance and the performance metrics of this business, some of which Peter highlighted earlier return on equity, you know, just the earnings on a multiple of a kind of price to price, multiple to earnings. Listen Craig, it would be inappropriate for me to comment on whether or not it's fairly valued or not. You know, I'm going to leave that up to, to our investors and folks like you. But you know, listen, we do believe that this business is got an opportunity to be better understood by the market and that's why we're going to be doing this session on the 19. And we think by providing enhanced information, enhanced disclosures as well as metrics that there'll be an opportunity for there to be a better appreciation of the value of this business and also a strategic value to open lane more broadly. So I think that's kind of where we're at. We really like the business and quite frankly, Craig, the other thing I would say is the AFC business has become more of a bigger piece of the pie for open lane, as open lane's transformation has occurred as we got out of the salvage business and spun that out in 19, the US physical business that we sold a couple years ago. So it's just become a bigger piece of open lane. And therefore we're going to be more intentional and more deliberate around how we explain it and how we position this business with you and our investment community.
Operator: The next question will come from John Healy with NorthCoast Research. Please go ahead.
John Healy: Thanks for taking my question, guys. Peter, just wanted to ask kind of a high level question. You, you mentioned it kind of Twice now that 2025 might be a tough year for the commercial side. And I think when you pencil out those month-to-month kind of fluctuations, there's some pretty steep declines that will happen on that side of the business next year. So with that said, I mean, as you look at next year, do you view it as a year where you guys can grow volume in aggregate and then secondly, if off lease volumes contract next year, does that actually create pressure on ARPU for OPENLANE on the commercial side, given that there'd be less cars at the top of the funnel? Higher end top of the funnel would absorb those cars and potentially leave a void lower down the channel where you guys typically extract higher rates on those sales. So I just, without giving guidance, I'm sure you're not ready to do that. Hoping you could kind of, you know, coach us through that thought process a bit.
Peter Kelly: Yeah, thanks, John. I appreciate the question. Obviously the situation is somewhat nuanced, somewhat complex, and none of us, I certainly can't, you know, predict the future. But here's what I'd say. What do we know? We know there's lower off lease maturities in 2025. So at the very top of the funnel there's a lower volume because of lower lease originations three years prior. So that's a fact. Offsetting that, we also expect the payoff rate, the amount of vehicles that are paid off preterm, to also decline somewhat. And we expect this because our customers expect this and they tell us this. So that can actually serve to offset lower maturities, depending on how those two sort of intersections. Right. So I can't really predict how that's going to play. All I know that is in Q3, which is in this period of time we're talking about, we were able to grow our commercial volumes. So we're off to, I think, a pretty good start. We're going to have to see how it plays out over the next few quarters. But it really is the intersection of those two things that will govern the amount of volume we get. So I kind of view it as, you know, 2025. There are some headwinds there on the commercial side that I don't necessarily conclude that we can't grow our commercial volumes. We will see, you know, we'll, we'll, we'll, we'll see how it tracks. We certainly anticipate continue to lean into dealer volumes and growing that part of our business and growing that over the longer term. And we're also looking to 2026 when we actually, again, as I've said, expect to see a significant improvement in off lease maturities as well as a continued decline in the preterm sort of payoff rate. So I think once we look to '26 and '27, we get into this sort of sustained period where the commercial story becomes a really positive story for a company. That's my current expectation. And obviously, you know, going through that period, we're not slowing down. You know, 2025 might have some headwinds. We're not slowing down. We're investing in these commercial seller relationships. As I talked about, we're deepening those relationships. Our commercial sellers see us as a value added and differentiated partner. I mean, I mentioned one of them selling 95%. You know, that's because we create value for that customer. Not just giving us 95%, they're selling 95% because that's where they get the greatest value. Others telling us that we're getting a significant premium versus other channels. Others that are experimenting. How do I sell more cars in the open channel? Because, you know, I don't want to go back to sending 10,000 cars a month, putting them on trucks, sending them to physical auctions, incurring all that expense. So how can I do more with you? So these are all the things we're doing to deepen the relationship. And I think the longer-term opportunities in commercial will be very, very positive for this company.
Brad Lakhia: Yeah, John. Hey, listen, Brad here, I just add a couple things. You know, we've modelled this scenario. I know your questions around volume and ARPU, but I'm going to maybe just bring it back. At least as we look into the foreseeable future, into 20. At least we've modelled these, you know, and I would say kind of three dimensions, kind of a base case, maybe four dimensions, base you know, better invest. And then there's a worst, and at least from an overall financial, you know, performance perspective, even in a worst case, it's, it's not really a, it's not really a significant headwind to us, to our marketplace business. And from a base case and a better case, we feel like this is still going to be a pretty strong business for us as we work our way through this more difficult, challenging period of 2025.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Peter Kelly for any closing remarks. Please go ahead.
Peter Kelly: Well, thank you for your questions, everybody, and thank you also for joining the call this afternoon. You know, as I said at the beginning of the call, I believe our third quarter results clearly demonstrate the power of OPENLANE. And I'm very optimistic in terms of how OPENLANE is positioned to capture the opportunities that lie ahead. I appreciate your interest in our company and we look forward to hosting you again for AFC Investor Update on November 19 and our Q4 and year-end earnings call, which will be early next year. We look forward to both of those and wish you all a very great evening. Thank you.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.